Operator: Greetings. Welcome to Limbach Holdings Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Jeremy Hellman with The Equity Group. Thank you. You may begin.
Jeremy Hellman: Thank you very much, and good morning, everyone. Yesterday, Limbach Holdings announced its third quarter of 2021 results and filed its Form 10-Q for the fiscal quarter ended September 30, 2021. During this call, the company will be reviewing those results and providing an update on current market conditions. Today’s discussion may contain forward-looking statements, and actual results may differ from any forecasts, projections or similar statements made during the earnings call. Listeners are reminded to review the company’s Annual Report on Form 10-K and quarterly reports on Form 10-Q for risk factors that may cause the actual results to differ from forward-looking statements made during the earnings call. With that, I’ll turn the call over to Charlie Bacon, the President and Chief Executive Officer of Limbach Holdings. Please go ahead, Charlie.
Charlie Bacon: Good morning, everyone, and thanks for joining us. Joining me today is our CFO, Jayme Brooks; our COO, Mike McCann; and Executive Vice President, Matt Katz is also on hand for a Q&A session, which will follow our prepared remarks. Those of you who have followed our company know we have been pointing to the third quarter as a major reflection point in our business, and I’m extremely proud of the results we reported. Specifically, our ODR segment revenue growth was 17.6% year-on-year and 17.2% sequentially. Our ODR gross margins of 29.8% were up 190 basis points year-on-year and 55 basis points sequentially. And GCR gross margins of 14.2% were delivered, up 280 basis points year-on-year and 403 basis points sequentially. Our net income of $4 million is the largest since we went public five years ago, and that was primarily the result of excellent gross margin performance in the quarter and our refinancing, which was completed in Q1. As good as many of the indicators are for the quarter, we firmly believe we have further room for growth. The strategic plan we put in place two years ago centered on improving our bottom line profitability. Process towards that goal has slowed as we grappled with the impacts of the pandemic, and with that receiving the results we reported last night are strong evidence that our leaders are executing well on our strategic plan. I also want to thank all of the staff here at the company for their hard and smart work. We have incredible talent in our offices and in the field. The entire team are growing together, and we’re realizing these positive outcomes. Very proud of all the people here that work at Limbach. I think we’re doing a terrific job. Our ODR segment continues to grow, helping improve our consolidated gross margin, while we also believe temporary the overall risk profile of our business. Our GCR segment is also performing well as our shifted focus to bottom line profitability is delivering the intended results. Within our ODR segment, our bookings actively remain strong and accelerated through the third quarter, with September our strongest month of the year. The maintenance base continued to grow. And as a reminder, maintenance contracts typically can lead to higher margin, quick-hitting small capital project work often performed on a T&M basis along with emergency repairs. That work normally results in total revenues for Limbach in excess of the recurring maintenance contracts. Turning to our GCR segment. The risk management initiatives we began two years ago to improve our performance continue to take hold as successful project closeouts helped drive segment margin of 14.2% in the quarter. When we propose on projects, our expectation is that once the dust has settled, projects will earn gross margins at or above the level at which we proposed. Our emphasis on quality project selection coupled with consistent execution in the field is resulting in improved segment profitability, and we intend to continue that performance. There may be some variability in GCR segment gross margin quarter-to-quarter, but we expect the broader margin improvement to continue and remind everyone that annual or 12-month trailing numbers and margins offer the best lens for which to monitor our GCR segment performance. With that, I’ll hand it off to Jayme for her financial highlights.
Jayme Brooks: Thanks, Charlie. Our earnings press release and our Form 10-Q continues a thorough review of our financials. With that in mind, I will focus my discussion on a few key points that may have further review. First is cash flow. Cash from operating activities for the quarter was $7.8 million, and cash and cash equivalents was $33.3 million. On the last call, we had questions around forecasting our cash flow and has spent some time discussing how we can explain the dynamics of our cash flows as our industry has somewhat unique aspects in how work is billed compared with the company that sales of products, for example. In addition, our cash flows, much like our operating results, are best viewed on an annual or trailing 12-month basis due to the quarter-to-quarter swings that can occur as a function of project life cycles. Broadly, the most significant impact on our cash flows quarter-to-quarter are accounts receivable, accounts payable and the over and under billings, which are included in our contract liabilities and assets accounts. As we commenced work on projects, we also look to build ahead for portions of that work. And when we are successful in doing so, we develop an overbilled position. At December 31 of last year, we were in a net overbilled position of around $14.1 million. So that was cash that we collected on work not yet performed, setting aside the DSO on those billings. By September 30 of this year, that reversed, and we were in a net underbilled position of $3.3 million. Setting aside the timing of payments for those incurred costs that was basically cash that we paid in advance of being able to bill our customers due to a host of reasons, which is typically normal course for the operation perspective. Both of these amounts can be found in Note 3 of our Form 10-Q. In looking at that time period from December 31, 2020, to September 30, 2021, this shift from a net overbilled position to a net underbilled position is a $17.4 million fluctuation of cash, which we model and monitor internally based on our individual project cash flows. Our over and underbillings are influenced by a range of things from project type and life cycle to the customers we are doing work for along with other external market dynamics, such as the supply chain impact for materials and equipment. As such, unfortunately, there is no good way for investors to model the fluctuations in these accounts and how their impact is on cash. However, there are several items on our cash flow statement that are more easily modeled, such as depreciation and amortization, non-cash operating lease expense, interest expense, taxes and stock comp. Non-recurring items such as the Q1 loss on debt extinguishment and the upcoming payment in Q4 of $3.2 million for the deferred payroll taxes under the CARES Act, which we have discussed before should also be fairly straightforward to model. Next, I want to highlight our gross margin as this is where the impact of our efforts to drive for of a balanced business mix show in our financial statements. In the third quarter, our consolidated gross margin was 18.9%, which is an excellent result. Both of our segments performed at margin levels, exceeding the ranges we have noted before with ODR gross margin for the quarter at 29.8%, compared with our target range of 25% to 28% and 27.9% in the third quarter last year. GCR gross margin was 14.2%, compared with 11.4% in the same period last year. This quarter’s results also compared favorably versus our estimated range of 10.5% to 11.5%. As Charlie noted, GCR gross margin benefited from a number of successful project closeouts in the quarter. We continue to view the target market ranges we have laid out as reasonable for modeling purposes in 2022. In ODR, we are optimistic that 2022 will see more larger products in the mix as we believe building owners will have growth in their CapEx spend. As that work comes on, we would expect our segment margins to soften a bit as larger projects tend to carry lower relative margins. We are also closely monitoring our supply chains, which Mike will discuss in more detail in a moment. In GCR, our margins can be a bit more volatile due to the timing of project completions and starts, along with external factors such as weather and supply chain impacts. While we have succeeded in booking projects and improved margins relative to a year or two ago, we still feel, it is prudent to conservatively model the segment in the 10.5% to 11.5% gross margin range. Lastly, I want to touch on SG&A. Our SG&A expense ticked up $1.3 million compared to the third quarter last year. Last year’s third quarter was a period of somewhat reduced SG&A expense as we were still not in full back-to-the-office mode and that expense categories such as travel and entertainment were running at a lower rate. Additionally, in 2021, we continued to make investments in our ODR expansion, such as the opening of our new Nashville office in order to track additional health care ODR business and getting out to see our customers. Before handing the call up to Mike, I want to discuss the potential headwinds going into the fourth quarter. Over the past few months, we have noticed an increase in our health care claims per participant compared to 2021 full year plan. As we are self-insured, the increased claims have had a direct impact on our operating results. We continue to monitor our health care costs and note that if this trend continues into the fourth quarter, we could have an unfavorable impact on the quarter and full year operating results. Additionally, Mike will touch on the vaccine mandates, but I did want to note that the compliance costs to meet the vaccine mandates could also unfavorably impact our fourth quarter and our full year results. I’ll now pass the call back to Mike.
Mike McCann: Thanks, Jayme. In light of the broader market conditions with respect to supply chains, I want to provide some color on how we are reacting to those issues. First, commodities. Pressure on raw material pricing and availability has leveled off. It appears that we’re at significant – it doesn’t appear there weren’t significant risk in the existing book of business, and the new business is taking into account the potential risk of a return to inflationary period. Of note, when we bid projects, we make sure customers know our pricing is only good for seven days, keeping that limitation on pricing has helped us mitigate our risk. Next is labor. The impact of a tightening labor market has not likely been felt in full. We’ve been managing labor carefully, so perhaps there’s some opportunity emerge from having left some capacity available. We believe our biggest near-term risk is one shared across the industry, which is the impending vaccine mandates. Currently, any federal work requires 100% vaccination for all parties working on a project, but we really don’t do that much federal work. For Limbach, the larger risk is the OSHA requirements that any private business with over 100 employees every one vaccinated or be tested weekly. We’re keeping a close watch on whether or not the courts will allow us to go into effect and are developing plans with the expectations that the mandates will go into effect. On equipment, it is a risk point for us in Q4 as it could impact our ability to incur costs and drive percent complete, which drives revenue recognition. Without key equipment, some work could be forced into a holding pattern, and we are very focused on doing all that we can to procure the equipment we need on the schedule we need it. Lastly, I want to reinforce that we are staying focused on all our standard risk management processes. Along with stronger data reporting that we incorporated into the business over the past 24 months, it is clearly paying off with the results we realized in Q3. I’ll now pass the call back to Charlie.
Charlie Bacon: As I noted at the start of our call, we had a really good third quarter and are successfully executing on our plan despite the ongoing COVID-19 impacts. I am disappointed with the year-to-date numbers, but Q3’s results reinforce what’s possible. Our ODR transformation is continuing, with that segment growing nicely and doing so with healthy margins. In terms of market dynamics for that segment, our business mix has continued to favor operating capital spend rather than large growth capital work. Given everyone’s awareness of the supply chain issues in our economy, building owners are accurately aware of the need to make sure their existing equipment properly maintained and that benefits us. I want to share two other points, the market forecast and our expansion of the ODR services. The September AIA billing index continues to indicate expansion at 56.6. The Dodge Momentum Index hit a 14-year high, a 47% increase over the same period last year. The FMI fourth quarter forecast presents a forward view of continued growth, with non-residential building sectors growing through 2025, with health care, our largest sector, indicating very strong growth over the period. The FMI report also reinforces the growth in the Southeast U.S., where we are looking at expansion opportunities. With ODR services, we have been successful with launching a new service known as program management services, specifically focused on the national and regional healthcare providers. This service assist customers to develop their capital projects. Early entry will allow us to better serve our customer base and better position us to secure more business following the planning cycle of a project. During the quarter, we sold these services to several major national customers, including two new significant customers. Looking ahead to 2022, the various indicators we track indicate continued market strength. This positive macro backdrop allows us to – an ample opportunity to continue being selective in our project proposals with a focus on securing work at attractive margins while optimizing our available resources. In our GCR business, we knew rightsizing our operations would include negative headwind of a revenue decline. With that said, we have seen our margins and profitability improve, which is the ultimate goal of the strategy. Also recapping some comments I made earlier, our ODR bookings during the third quarter were good and accelerated in September. We’re really pleased with the volume and quality of the opportunities in front of us. Lastly, we are reaffirming our guidance for 2021, with revenues in the range from $480 million to $510 million, with adjusted EBITDA of $23 million to $25 million. With that, we’ll take your questions.
Operator: Thank you. [Operator Instructions] Our first question is from Rob Brown with Lake Street Capital. Please proceed.
Rob Brown: Good morning, Charlie. Good morning, Jayme. Nice job in the quarter.
Charlie Bacon: Good morning, Rob.
Jayme Brooks: Rob, thank you.
Rob Brown: Just wanted to kind of clarify your comments about Q4 and some of the cost pressures that you’re seeing in health care and the vaccine mandates. Is that in your guidance and kind of commentary about being in the – on the low end of EBITDA range? Or is that – would that be incremental to what you’re talking about?
Jayme Brooks: That would be incremental. We are looking – we’re just looking at kind of what we know today, and that’s what is in our guidance. And then that’s – we just want to make them – investors aware that those are things that headwinds that we’re looking at, but we’re not able to put any kind of parameters around those right now.
Rob Brown: Okay. Okay. Got it. And then the margin kind of expansion that’s sort of implied in your project business, you – how is the visibility on that right now in terms of Q4? And then [indiscernible] next year, but how is the margin expansion visibility sort of for the rest of the year?
Mike McCann: Rob, thanks for that question. The biggest thing that we’ve really been focusing on the last nine months is to make sure that we get our mix between owner direct and GCR and really been pushing that. We’re excited about our sales in Q3 from ODR. And that mix, along with similar performance that we’re looking for going forward, is really the mix that we’re looking to obtain.
Rob Brown: Okay. Great. And then you have pretty positive comments about the growth rates into next year. How does that order book sort of play out? And when – how much visibility will you have in the next year sort of at this point? And how much of your sort of view is or I guess how much of your – the expectations out there is sort of in the backlog at this point?
Charlie Bacon: The ODR sales picking up, Rob, it was just fantastic news. We’ve seen a trend the whole year in a positive way. So we’re looking at ODR growth going right into next year. We don’t see that letting up. When you look at GCR, we continue to look at maximizing our return of people. So as I’ve said in the past, we’re looking not so much as – that’s not really the growth story. It’s kind of profit story. We’re going to maximize our margins on GCR. So when I look at the pipeline, the pipeline is certainly appears strong. And by the indices we track and made those statements about the recent reports, all very positive for 2022, 2023, 2024. And I think just the supply and demand curves are really going to allow us to continue to maximize the bottom line of GCR. And where we see opportunities in the business to grow it, meaning we have very successful execution, we will look for growth. But quite frankly, in some of our business units, we’ve not fared that well. And there’s going to be a shift really to focus in on ODR, which is this very high margin. And quite frankly, those branches have a great track record of executing ODR. So it’s going to be a mix of, I’d say, growth on ODR and modest opportunity or GCR. But I think we have pretty good visibility on next year.
Rob Brown: Okay. Thank you. I’ll turn it over.
Operator: Our next question is from Jon Old with Long Meadow Investors. Please proceed.
Jon Old: Hi, everyone. Thanks and congrats on the results. I wonder if you could, Charlie, update us on claims collection and sort of the acquisition program.
Charlie Bacon: Sure. Good morning, Jon, Charlie here. So on the claims collection bid, we’ve made some progress on two of the projects that we’re definitely moving forward in the right direction, and we’re really pleased with it. We had one project that was extended, a federal project. And it’s kind of interesting. I think we’ve worked it smartly. We’ve submitted a total of three claims. All of those claims have been resolved, but the project is going to be about two years late. And we’re going in with a fourth. But the progress is steady. And as a result, we did maybe see some of the problems we’ve seen in the past, where we just couldn’t get resolution early. Another particular project, which is a private project, is in kind of final negotiations right now. So we’ll have to see how that continues to play out, but we’re holding firm. We’re not backing off, and we’re looking for strong settlements. Some of the big ones that we’re dealing with are continuing to drag out. And that’s just – it’s interesting to step back and look at one particular opportunity. The general contractor is going after monies that are probably 10 times the size of our claim, and it involves all the contractors. It’s not just us. So we’re working hand in glove with them to continue to progress that, but it’s going to continue to take a while to resolve. So we’re seeing progress on several fronts, and I sure wish it would move faster on the other fronts. But again, I look at it as future cash to come into the company. On the acquisition front, we remain active. And actually, I’d like to have Matt make a comment or two. Go ahead, Matt.
Matt Katz: Jon, good morning. Yes, I think Charlie’s quick comment there is certainly appropriate. The market, I think, broadly speaking, has leveled off in terms of overall activity given the anticipated capital gains, tax rate changes at the end of the year. I think everybody who was going to try and get something done this year probably launched over the summer or into the early fall. And so if you want to use the inbound broker-driven or banker-driven activity as a measure of the health of the market, it’s probably where you would expect at this point. Obviously, if somebody is launching now, they don’t anticipate getting anything done by the end of the year. What we are seeing, again, broadly is that even for folks who may not have been in a rush, there is a level, I think, of just emotional fatigue for a lot of these business owners and folks who a year ago might not have really seriously considered evaluating a transaction, I think, are having a change of heart. And so we’re seeing a market that is certainly receptive to Limbach. And I continue to think we got a very good story to tell and a good brand to market, and it’s sort of manifesting itself in some very interesting opportunities at various stages of discussion. We’re sort of always in this perpetual cycle of bringing opportunities into the queue, evaluating them, putting some on the back burner moving past others and then really focusing on a couple. We’re going to continue to remain disciplined, but we do see some things that we like. The challenge, obviously, is threading the needle between seller willingness to engage our feelings about our underlying performance in the market and getting our arms around commodity price exposure, equipment availability and COVID vaccine mandates, both at Limbach and elsewhere, and then feeling like we’ve got the right cultural compatibility. So we’ve certainly set up for ourselves a process and a structure that requires some degree of precision and firing on all cylinders before we’re at a point where we fall in love, but we’re open-minded to following – excuse me, falling in love and would certainly like to get something done if it’s the right opportunity.
Charlie Bacon: Jon, I just want to add a couple of the points to Matt’s comments. We continue to hunt, and we’re mainly focused in the Southeast United States. We think that’s the area – region we really need to expand into. And we’re also looking at either an existing sector or possibly a new sector that has strong growth potential, but all of it has to complement our ODR expansion plan. So Matt’s done a great job at nurturing some opportunities. And as he said, we’re in various stages of discussion.
Jon Old: Okay, thanks.
Operator: Our next question is from Chip Brown with Stifel. Please proceed.
Chip Brown: Good morning, guys. Thanks for taking my call. My question is regarding the ODR service segment expansion. So you made some comments on the Nashville office and how the impacts on SG&A. Any light that you can shed on the impacts to working cap or what we can expect going forward in terms of capital constraints?
Charlie Bacon: Yes. So it’s a minor SG&A investment. I’m sorry, it was Chip Brown?
Chip Brown: Yes.
Charlie Bacon: Yes. Chip, thanks for the question. Yes, it was a minor investment, but we brought on board a very talented person. And we’re going to walk before we run. We have added another professional to that staff. We’re selling – it’s like working better than expected, actually. It’s ahead of plan from our original view on how to get into this. Our objective to add program management services, I just want to explain. It’s a little bit different than our core service. But if something I did for 21 years in my career, I did a lot of program management in the past before joining Limbach. And it’s an opportunity for us to really develop value propositions for a client to spend CapEx to develop their project, and then we get the knowledge early on what’s going to happen, which positions us later for another further ODR play with the actual CapEx spend. So we actually secured three new clients during the quarter. These are major players based in Nashville. So we’re quite excited. So from a CapEx perspective – excuse me, a SG&A perspective, we just have two people there, and they’re doing a great job, and they’ll be feeding work to the rest of the company. And we didn’t open up a big office or anything like that. It’s a very modest investment. So I hope that provides some color on what we did in Nashville.
Chip Brown: Yes. I appreciate it. And can we expect within, I mean, this to be cash flow accretive within the next year or so?
Charlie Bacon: Yes. Yes. Absolutely.
Chip Brown: Thank you. Appreciate it.
Operator: [Operator Instructions] Our next question is from Mike Hughes with SGF Capital. Please proceed.
Mike Hughes: Good morning. Thanks for taking my questions. First, I wanted to follow-up on the M&A discussion. Can you give a range of multiples that you’re looking at, at this point?
Mike McCann: Mike, our target range is in the area of plus or minus 4.5 times trailing EBITDA over the last couple of years for target companies. That’s prior to any potential synergy opportunities either on the front end from a revenue and gross profit point of view or in terms of back-end administrative efficiencies.
Mike Hughes: Okay. The ODR business, last quarter, you indicated would grow by 25% this year, which implies a full year of $159 million. Year-to-date, you’ve done $101 million. So to get to that goal that you put out there last quarter, you need to do close to $60 million this quarter, up from just reported $39 million. Can you just kind of comment on that potential?
Charlie Bacon: Sure. Like I said earlier, we had very strong sales in the third quarter, which we needed to see in order to fuel the fourth quarter revenue. I think the $159 million is probably a bit of a stretch for the quarter, but we do expect it to grow over Q3. So we’re going to wrap up the year nicely in terms of growth year-on-year. Yes. And as I said earlier, I was a bit disappointed in terms of how the beginning of the year went, which impacted sales and resulting revenue. But from a standpoint of the strength of Q3, and we don’t see that lightening up in Q4, it’s kind of teeing up even a nice start to the year in Q1. And again, the sales, the way that works, which is very different than GCR. The ODR sales are rather immediate. It’s – we sell it, we book it, and we execute it. So seeing that strong third quarter fuels the following quarter, right, the fourth quarter. And again, the sales right now in the pipeline, there seems to be just continued pent-up demand. And a lot of customers are focused on fixing existing equipment, which is great from us from a T&M perspective and emergency work. We’re seeing one of our best years ever on the T&M front. So we don’t expect that to lighten up, especially because of the supply chain issues.
Mike Hughes: Okay. You just hit on one of my concerns with that segment, pent-up demand. I’m just wondering how much of this is just business that was pushed to the right and you’re going to have very robust results at ODR for a few quarters and then it kind of rolls over, just maybe address that issue.
Charlie Bacon: One of the things that a service business, an indicator of its strength is the sale of preventive and maintenance contracts. And we’re having a record year. Now what does that mean? So once you sell a preventive maintenance contract, you’re in with the customer. And we have right now about an 88% renewal rate annually. They’re evergreen contracts. And when you look at selling that maintenance contract, you start getting a multiplier effect of revenue, and it’s very high margin. So to see this year’s growth, it’s going to be our best year ever of preventative maintenance contracts, right? So it’s not just the emergency work. It’s actually setting up the future to have an expanding core service business. So we’re quite excited about that. We did spend more money on sales resources over the past two years to get that momentum going, and it’s paying off. So actually, we don’t see it letting up. And the way I’d like you to look at it, Mike, I still think it’s the tip of the iceberg. There’s so much growth potential in the ODR segment. When you start looking at our footprint and market penetration, there’s so much more opportunity for us to expand. So I don’t see us letting up. We’re going to continue to invest in the expansion of ODR. We believe that’s where we should really invest.
Mike Hughes: Okay. So you expect the revenue for that segment to increase sequentially into the fourth quarter from the $39 million you just reported for the September quarter. Do you have enough visibility to commit to that segment being up in the March quarter versus the December quarter?
Charlie Bacon: Right now, as far as the fourth quarter, we expect the growth in revenue in the fourth quarter, and we have visibility on that. And I’m sorry, the second part of that question?
Mike Hughes: Do you have visibility into the March quarter thinking it will be up sequentially from the December quarter?
Charlie Bacon: Yes. I think right now, the pipeline of sales appears to be strong, right? So we sell it. We perform it. Through the course of this year, we’ve seen a continued ramp-up of sales activity through the year. And the third quarter was better than the second quarter. Second quarter was better than the first quarter. So we don’t expect that to slow down. And again, I think we’ve invested with the right, I call it, feet on the street. So the expansion, I don’t expect it to let up. The only concerns we have right now, again, is supply chain matters, which is no different than any other business today. But we’re making our customers aware of it. And the interesting part of that, instead of ordering maybe new equipment, they want to move forward with a chiller, but instead, they’re saying, "Well, you know what, put Band-Aids on the existing chiller," which is great for us because we have our techs in their buildings, and they’re spending money. We’re reaping the revenue at very high margins. So we’re working it as best we can in terms of opportunity. And Mike, do you have any other thoughts about that in terms of opportunity on the supply chain side?
Mike McCann: Yes. I think from the other thing, too, that we’ve seen from both segments is the supply chain has become more complicated, and we’ve really worked internally to make sure that we are managing that properly through communication and awareness. The one thing we’ve definitely seen from our customers is they’re turning to us, especially from a trusted relationship perspective, to look for more of a turnkey approach. Maybe in the past, they would have bought parts and smarts or pieces. Now they’re looking for somebody to kind of manage that for them. So we see opportunity as we go forward, and especially we’ve seen now for more of a turnkey approach as opposed to what we’ve seen in the past.
Mike Hughes: Okay. And then turning to the GCR side of the business. The backlog has declined for a few quarters now, which I appreciate your discipline on bidding. But when does that bottom out? Do you have an idea?
Mike McCann: GCR perspective, and I think Charlie touched upon this a little bit too, we’re really making sure that we’re maximizing outcomes. We’ve got a business where we’re trying to make sure that the – we perform the best that we can in places that we’ve historically performed. We’re really watching the quality of the gross profit and making sure that we’re not growing and impacting that. So I think it’s very dependent on markets that we’re working on. It depends on opportunity. We’re trying to be smart from really making sure that resources are paired with opportunities. But our key is once we hit a certain level in a certain market, we’re – that will turn to a growth pattern in that market.
Charlie Bacon: Yes. I want to reinforce that when we look at our existing business, all the business units, we have a disciplined eye right now that if they have proven to us that they can execute and deliver the great margins. We do expect them to grow, but we’re being extremely disciplined on the pricing. And we’re saying either upper margin, supply chain is in our favor, go for it. And we might lose something, and that’s okay because there’s plenty of opportunity out there. And the indices that we have are indicating it’s not going to let up. In certain business units where they’ve had some challenges in the past, we’re making tough calls and pulling back and really focusing in on ODR. In one particular branch we had, we looked at what they were doing with the GCR side, and we just, you know what, what if we just deploy the SG&A dollars over to ODR? You’re really killing it on that side of the equation. And let’s back off the GCR. So to recap, where we’re performing and performing well, we expect to see expansion. Where we’re not performing well, we’re actually going to contract. And I think that’s smart. It’s strategic. And then moving back to ODR, continue the forward growth in every location on the ODR front. The nice thing about ODR is just, besides it being very high margin and cash flow is much better, it’s just not huge capital-intensive compared to building a new building. It just doesn’t require as many people. And that – with the labor conditions out there, we think it’s just a smart play.
Mike Hughes: Okay. And just the mention of cash flow being better on the ODR side of the business, and I know you discussed this earlier on the call, but what does cash flow look like over the next 12 months? Because if you look at 2019, operating cash flow was roughly negative $1 million. Then you had a huge 2020 at $40 million. Then year-to-date, it’s negative $17 million. So you sum all that up, it averages about $7 million, which isn’t very good conversion on the EBITDA you’ve reported. So what does that look like going forward? What do you aspire to?
Jayme Brooks: Yes. So that’s where we kind of when we took the time to go through the detail that we really have the fluctuations in our billing cycle and how we do work with regards to overbills and underbills. And so the best way to model that we kind of laid out is you need to just – what’s the targeted adjusted EBITDA. And from there, for example, for Q3, we had the tax of 1.6. We had interest of about 0.5. We had debt around 2.1 and CapEx running around 0.3. So if you look at those kind of impacts to cash against the adjusted EBITDA, that basically kind of will give you a bulk of figure of cash before working capital adjustments. And as the working capital adjustment piece, as I spent the time going through that it’s – we have insight internally, but we’re not giving guidance on that. And it’s too difficult. There’s enough information for investors necessary to model that fluctuations in some of those accounts.
Charlie Bacon: Mike, I just want to comment on just, Jon Old asked a question earlier about claims and where we stand. We did consume a lot of cash during that claim period. Or those projects as we were working through them, they were delayed, and we’re obviously seeking recovery to get that cash back into the balance sheet or on to the balance sheet. So that’s another thing to be thinking about. The good news is if you look at the business over the past 18, 24 months, we haven’t had any new major claims. All of what we suffered in the past with some decisions on jobs that just went south, not because of us, but we were caught up and just problems with the owner or problems with the general contractor and other specialty contractors. We had to lay out that cash years ago. But this past 18 months to 24 months, we’re not seeing that. And I think it’s the discipline we’ve put back into the business. So we got the recovery of the cash from the old claims that is a future period activity. But also, we’re not seeing that outlay that we saw in the past, because we’re just being a lot smarter over the past 24 months of what we’re taking on. I hope that helps.
Mike Hughes: Well, I appreciate the variability from quarter-to-quarter modeling working capital. But operating cash flow is converted at about a 30% rate to EBITDA if we look at 2019, 2020 and year-to-date. I would think that you’d be able to put a metric out there, hey, we want to convert at a 50%, 60%, 70% rate. Maybe we, outsiders, can’t model that, but I would suggest that you maybe put a number out there, because the one thing missing at the story right now is the operating cash flow year-to-date has been very poor, as you’ve outlined. So that’s just a suggestion. Last question, you filed a shelf in the middle of September. Was that just re-upping in existing shelf? Or would you actually issue shares at these levels?
Jayme Brooks: Yes. That was what I just call it kind of good housekeeping in the sense of putting up a shelf. We had warrants that were issued under the other shelf. And so there was no availability on it. So we need to put – just to have something out there.
Mike Hughes: Okay. Thank you.
Charlie Bacon: Thank you, Mike.
Operator: Our next question is a follow-up from Jon Old with Long Meadow Investors. Please proceed.
Jon Old: Thanks. Yes, thanks. I just want to sort of flip that last question on its head a little bit. Given the – I mean you’re in a net cash position and depending on what metric you look at, I mean, I think your valuation is in many cases, 1/3 to even more – even less than the big public peers. Are you in a position at this point where you could modify your credit agreement to allow yourself to buy back stock?
Jayme Brooks: No. at this time, we are still in a position of keeping with our agreement with the bank.
Jon Old: That change at some point? I mean what...
Charlie Bacon: Hi, it just…
Jayme Brooks: It could be. Yes. We’re not even in a year, yes, I mean year into the agreement. So it’s definitely something we could consider going forward. But at this point, we’re new with the relationship.
Jon Old: Yes, thanks.
Operator: Our next question is a follow-up from Chip Brown with Stifel. Please proceed.
Chip Brown: Hi, just wanted – based on the two prior questions, would the negative impacts to working cap this quarter or during the trailing nine months. Was that predominantly with the over underbilling, was that just obviously that the GCR segment? So can we expect those negative impacts? Any light on the negative impacts from the segment – the Service segment? Or is that predominantly just all under construction in install side on the working capital?
Jayme Brooks: See, you want specific to each segment?
Chip Brown: Yes. Specific, I mean you guys don’t break out the working cap or assets in terms of segments. So would the negative impacts – at the end of September to working cap on the over underbilling side, that’s obviously just is that GCR driven? And then for the…
Jayme Brooks: Primarily.
Chip Brown: Primarily? Okay. What are the capital constraints on the service side then with expansions like in Nashville? And what should we expect going forward? I mean you had made comments in the past, Charlie, that – I appreciate that you had grown too fast. Where is the fine line there?
Charlie Bacon: Yes. Well, okay. So when you look at the GCR work, right, we’ve taken on some very large projects in the past, and we still will continue to take on large projects in the business units that have a great track record of execution. And those jobs could cause fluctuations in working capital in our cash position as projects start up. We look to get to that overbilled position. That’s a primary goal. But what we have done over the past 18 months is we’ve actually backed off those big jobs and we’re taking smaller work. And the opportunity to get to that overbilled position doesn’t necessarily – it’s not as great compared to a very large scale project. So – and by the way, we think from a mid-term, long-term health perspective, that’s the smart way to go about it. The big jobs, if they’re going well, it’s great. But if they going the other way, it could really impact our position. When you have the smaller projects, and we’re talking $1 million to $5 million jobs versus a $40 million or $50 million contract, you don’t see the fluctuations. We’re able to stay ahead of it. They don’t tend to get in trouble. You get in and get out. It’s kind of just a smarter business platform. On the ODR segment, you just – generally, what we’re doing there is we actually asked for 50% down payment on some of the deals. And once in a while, we get it. I think the smarter buyers basically say, no, I’m not going to do that. Basically, that’s the larger sophisticated customers. But the smaller customers, they’ll agree to that 50% upfront payment. So we were constantly pushing for improved cash position. And the other thing, Chip, I just want to reinforce that Nashville opportunity is a very, very small investment. We just think it was a very smart play. Our largest sector is healthcare, and Nashville is the hotbed of where decisions are made so the for-profit healthcare customer base. So we’re really excited. The individual that we actually brought on was someone who worked for me at my former company, and he’s done an excellent job in the number of months he’s been here. And actually, like I said earlier, he’s ahead of his sales projection. And back to the positive cash flow, I think by the early part of next year, we’ll definitely be positive. I mean the sales are there. It’s great to see what he’s already delivered and it’s a very high margin. So we’re pretty pumped up about it.
Chip Brown: Appreciate it. So as you – as we approach your target in 2025 of a 50-50 mix with service and install, can we expect the working cap to kind of smooth out, I mean, just for modeling purposes? I hope that makes sense.
Jayme Brooks: Yes, that makes sense, because right now, we’re sitting like Charlie mentioned, we’re 70% our GCR, and that’s where we see the fluctuations more so with regards to the lifecycle of the cash over the project. So yes, as we get more towards the ODR, it will balance out.
Chip Brown: And what can we expect in terms of capital outlay from the ODR perspective? Any light there?
Charlie Bacon: It’s actually a very small capital outlay, right. Because when you’re looking at an ODR business, you’re basically talking about a service tech and a van, and he’s got some equipment in that van, right. So we have the leases that come through. And from a people perspective, we are adding staff in terms of sales and management as we grow that business, but it’s not as intensive compared to construction with CapEx.
Jayme Brooks: Like CapEx. Yes, its on the CapEx.
Charlie Bacon: Yes. I mean on the GCR side, we have plants that produce sheet metal. And obviously, that’s big outlays from the standpoint of maintaining those plants, although I think we work that very efficiently. But the ODR business really doesn’t require that kind of plant activity. So it’s just not as intensive, which another reason why we like it so much.
Chip Brown: Great. Thank you.
Operator: We have reached the end of our question-and-answer session. I would like to turn it back over to management for closing comments.
Charlie Bacon: Well, listen, everyone, thank you for joining us today. We’re obviously very proud of the quarter. It’s a clear indication of what we can do as we go forward. We appreciate everybody’s patience with management as we continue to work through some challenging times, but we’re starting to see the fruits of our labor, and I think our strategy is spot on. And we’re going to continue to aggressively execute that. We look forward to meeting with you again with our end of year results, and thank you.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time, and thank you for your participation.